Operator: Good morning, everyone, and welcome to VCI Global's First Half Earnings Conference Call. Joining me today to discuss our results are Victor Hoo, our Group Executive Chairman and CEO; and Zhi Feng Ang, our CFO. Before we begin, I would like to take this opportunity to remind you that our remarks today may contain forward-looking statements, which are subject to future events and uncertainties. Statements that are not historical facts, including, but not limited to, statements about the company's beliefs and expectations are forward-looking statements. Forward-looking statements involve inherent risks and uncertainties, and our actual results might differ materially from these forward-looking statements. All forward-looking statements should be considered in conjunction with the cautionary statements in our earnings release and the risk factors included in our filings with SEC. This presentation also includes certain non-GAAP financial measures, which we believe can be helpful in evaluating our performance. However, those measures should not be considered substitutes for the comparable GAAP measures. The accompanying reconciliation information related to those non-GAAP and GAAP measures can be found in our earnings press release issued earlier today. Without further ado, I will now turn the call over to our Group Executive Chairman and CEO, Mr. Victor Hoo.
Voo Hoo: Thank you, and good morning, everyone. The first half of 2025 has been a pivotal period for VCI Global. We are not building just one platform, but a portfolio of high-growth verticals across cybersecurity, AI, fintech technology development and AI infrastructure. Each of this is designed to stand on its own as a strong business while working together to serve a growing base of enterprise and institutional clients. Our technology segment has taken the lead this year, delivering USD 9.3 million in the first half, up from USD 1.7 million a year ago. This marked a clear structural shift in the business with technology now driving most of our growth. At the same time, our Consultancy arm remains a solid foundation, contributing USD 8.1 million even as activity levels normalized after an exceptional 2024. Together, this gives us a balanced model, a fast-growing technology engine supported by stable consultancy cash flow. We are also opening up new revenue streams. One key milestone ahead is the launch of our GPU Lounge and GPU cloud platform, expanding into GPU as a service. Our RWA consultancy is gaining traction, and we are increasing investment in cybersecurity, AI, data analytics and fintech. These are areas with long-term potential and strong alignment with our strategy. In parallel, we are in advanced discussion on our digital asset treasury strategy, which we believe will complement our ecosystem and create additional growth opportunities. Another milestone on the horizon is the planned IPO of VCIG, our capital market advisory arm targeted for the first quarter of 2026. This reflects how each vertical from advisory to technology can evolve into a self-sustaining growth engine within the VCIG ecosystem, giving us strategic flexibility and opportunities to unlock value. Overall, revenue grew 37% year-on-year to USD 18.7 million with strong momentum in technology. EBITDA was USD 5.2 million, supported by top line growth and disciplined execution. Looking ahead, our focus is clear, execution and scaling. We are bringing our GPU and AI infrastructure services to market, growing our Cybersecurity offerings and maintaining healthy deal flow in our capital markets advisory business. We are building VCI Global as an ecosystem of platforms with clear commercial value and long-term potential. I'm encouraged by the progress so far and focus on what's ahead. With that, I'll hand it over to Ang to walk through the financial performance in more detail.
Zhi Ang: Thank you, Victor. Hello. I'm Ang, CFO of VCIG, and let me walk you through our financial performance for the first half of 2025, covering the 6 months ended June 30. We reported total revenue of USD 18.7 million, representing a 37% increase from the prior year period. Gross profit increased by 17% to USD 15.1 million with gross margin maintained at 80%, supported by a disciplined cost structure and the operating leverage inherent in our model. EBITDA was USD 5.2 million, reflecting both top line growth and continued investment across our strategic initiatives. Net profit after tax was USD 4.66 million with a net margin of 35%, demonstrating the resilience of our earnings profile as we scale new verticals. Outside of the core business, interest income increased to USD 1.3 million compared to USD 0.7 million a year ago, driven by a larger loan receivable base and client financing activities. This remains a high-quality earnings stream that complements our core operations. Other services contributed USD 43,000 compared to USD 140,000 last year, while other income increased to USD 0.6 million from USD 0.1 million primarily from financial assets and ancillary gains. Taken together, the first half results reflect a scalable margin accretive model underpinned by diversified revenue stream and disciplined capital deployment. As we move into the second half, our focus is on execution, converting strategic initiatives into sustained earnings growth and maintaining the financial rigor that supports it. With that, I'll hand it back to the moderator.
Operator: [Operator Instructions] Our first question comes from the floor addressed to Mr. Victor. You have been reinvesting in AI, cybersecurity, fintech and data analytics. How are you prioritizing capital allocation across these verticals? And what kind of returns or milestones are you targeting?
Voo Hoo: We are taking quite a disciplined and phased approach when it comes to capital allocation. Right now, our top priority is AI infrastructure and related services. This is where we see the clearest commercial demand. So investments around the AI integrated server, cloud platform and upcoming GPU Lounge and GPU cloud are at the forefront. The next area is cybersecurity, which complements our AI initiatives and position us well with enterprise and institutional clients. For fintech and data analytics, we are being more selective. It's about finding the right partnership and making targeted investment rather than large upfront commitments. In terms of milestones, we are focused on commercial traction and revenue visibility within 12 to 24 months. We are not aiming for quick wins, but rather sustainable growth in areas that fit our platform.
Operator: Next question asks, consultancy revenue moderate year-over-year while technology surged. Should we view this as a structural shift towards technology as the main revenue driver going forward or more of a cyclical effect?
Voo Hoo: It's a bit of both. Consultancy had a very strong 2024. So part of the moderation is simply a return to more typical activity levels. The underlying business remains solid. At the same time, there's a structural shift underway with technology becoming a larger part of the business. The growth we are seeing in AI infrastructure and solution is real, and we expect this segment to continue driving growth. So we see this as an evolution of the revenue mix where technology plays a bigger role, while consultancy remains a stable and important foundation for the company.
Operator: Here's another question from the floor. How is your current pipeline shaping out for the second half of the year, particularly in the technology segment?
Voo Hoo: The pipeline for the second half looks steady and balanced across both segments. On the technology side, we are seeing consistent interest from enterprise clients in our AI integrated server and cloud platform. A number of these discussions have moved into later stages, including some proof-of-concept work and early commercial talks. While it's still early, these engagements are progressing in line with our expectations. For GPU as a service interest has been encouraging, particularly from local enterprises that are exploring more efficient ways to access or compute resources. As we roll out the GPU Lounge and GPU cloud platform in the coming months, we expect to onboard a small group of initial clients. This will help us validate the offering and fine-tune the operational model before we scale it more widely. On the consultancy side, the pipeline remains healthy with a mix of mandates at various stages. We are working closely with clients preparing for U.S. listings and several are expected to hit filing or other key milestones in the second half, subject to market conditions. Overall, the visibility is reasonable, and we are taking a measured approach to execution. The pipeline supports our outlook for steady progress in both technology and consultancy for the rest of the year.
Operator: And our next question, as you scale both the technology and capital markets businesses, what are the key execution risk you are watching most closely for the remaining of 2025?
Voo Hoo: There are a few areas we're keeping a close eye on. First is delivery capacity. As demand grows, especially on the technology side, it's important that we scale our infrastructure and teams in a controlled and sustainable way. Second is timing around consultancy deal closures, particularly IPOs, which can be influenced by external market conditions. We are managing this by keeping a diversified pipeline and working closely with clients. Third, capital deployment discipline remains key. We are sequencing investment carefully to match commercial milestones. Lastly, we continue to monitor regulatory developments, especially in AI and digital assets to stay ahead of compliance requirements. Overall, these are manageable risks, and we feel we have the right structures in place to navigate them to the rest of the year.
Operator: Thank you. That wraps up all the questions we received from the floor. We have addressed all queries for today's session. I will now hand it back to our Group Executive Chairman and CEO, Mr. Victor Hoo, for his closing remarks.
Voo Hoo: Before we end, I want to take a moment to reflect on the first half of 2025. It was a solid period for us, marked by healthy revenue growth, strong contributions from our technology segment and continued stability in consultancy. We also made meaningful progress in laying the groundwork for our next phase of expansion. Looking ahead to the second half, our focus is on execution. It is about taking the plans we have set in motion and delivering them. We know where our priorities are and the team is aligned and moving forward steadily. We appreciate everyone taking the time to join us today, and we are grateful for your continued support. We look forward to sharing our progress with you in the next quarter.